Operator: Good day and welcome to today's Vopak Q3 2023 Results Conference Call. This meeting is being recorded. At this time, I'd like to hand the call over to Fatjona Topciu, Head of Investor Relations. Please go ahead, ma'am.
Fatjona Topciu: Good morning, everyone, and welcome to our third quarter 2023 results. My name is Fatjona Topciu, Head of IR. Our CEO, Dick Richelle; COO, Frits Eulderink; and CFO, Michiel Gilsing, will guide you through our latest rate results. We will refer you to the third quarter 2023 analyst presentation, which you can follow on screen and download from our website. After the presentation, we will have the opportunity for the Q&A. A replay of the webcast will be made available on our website as well. Before we start, I would like to refer you to the disclaimer content of the forward-looking statement, which you are familiar with. I would like to remind you that we may make forward-looking statements during the presentation, which involve certain risks and uncertainties. Accordingly, this is applicable to the entire call, including the answers provided during the questions during the Q&A part. With that, I would like to turn over the call to our CEO, Dick Richelle.
Dick Richelle: Thank you very much, Fatjona, and a very good morning to all of you joining us in the call this morning. Let's move to the key highlights. In the third quarter, the need for our services was strong across the portfolio. We continue to serve our customers well across products and the different regions. We also delivered on our strategy to improve our financial and sustainability performance, to grow our base in industrial and gas terminals and to accelerate towards new energies and sustainable feedstocks. Key highlights of our three strategic pillars. First, let's take a look at improve. We reported improved financial results with an EBITDA of €735 million, an increase of 12% compared to the same period last year, and occupancy levels remained high with proportional occupancy at 92% year-to-date. We continued to actively manage our portfolio by divesting our chemical distribution terminals in Rotterdam, after the strategic review we announced earlier this year. Besides financial improvements, I want to emphasize the focus on improving our sustainability performance. We maintained a good performance on personal and process safety and continued the trend of reducing our CO2 emissions also this quarter. Looking ahead, we're pleased to increase our 2023 outlook to an EBITDA of around €970 million, up from around €950 million we communicated earlier. Michiel will discuss our increased outlook in more detail later in the call. Let's take a look at growth. We are solidifying our leading industrial position in China and Singapore, while at the same time, expanding our footprint in gas with LPG and LNG. We're working towards the completion of the acquisition of 50% of the shares in Eems Energy Terminal in the north of the Netherlands. We expect to close this deal before the end of the year. Gate terminal in Rotterdam fulfilling an important role in the gas market in Northwest Europe started construction for its fourth bank this quarter. Now to continue with our strategic goal of accelerating towards new energies and sustainable feedstocks. We've commissioned repurposed infrastructure in the Port of LA related to low carbon fuels being sustainable aviation fuel and renewable diesel. Also, we announced this quarter that we started to collaborate for the development of a large-scale, low ammonia production and export project along the Houston Ship Channel. We believe that this will be an attractive opportunity to accelerate towards new energies in the U.S. Gulf Coast. Moving on to the market demand to share some of the key market dynamics and how they impact the demand for our infrastructure services. I'd like to give you some details on how the markets in which we operate developed and the impact on Vopak. To start with gas, the developments in LNG markets continue to support the healthy demand for LNG infrastructure. Throughput levels are stable, backed by long-term contracts. SPEC terminal handled a high throughput because of low hydro levels in Colombia. The other LNG and LPG terminals show a stable performance as per the role in the local energy systems. An increased demand for low carbon fuels and feedstock solutions is seen as companies strive to achieve lower emissions. We will continue to invest in repurposing our infrastructure to cater for low carbon fuels and feedstocks as we did in Los Angeles this quarter. Now moving on to the energy markets, we serve through oil products. A growing demand on the one hand side versus production cuts announced by OPEC+ and geopolitical tensions is causing volatility in this market. These market dynamics support favorable demand for our storage services, mainly at the hub locations. Oil distribution terminals serving local growing markets have a stable performance. Looking at the manufacturing markets, we serve through our industrial and chemical terminals. The chemical markets are still oversupplied, causing declining margins and lower operating rates for the chemical producers. Supply continue to come from feedstock and energy advantaged areas like the Middle East and the United States. Less production in Europe is leading to higher import volumes. This leads to favorable demands for our infrastructure services serving the chemical markets. Throughput flows in our industrial terminals remain stable, but seeing some lower activity levels specifically in Asia and China. The relative impact is limited since the majority of our revenue on these terminals come from take or pay contracts. Now let’s move to the next slide. Let me take you through the different elements of our business performance in more detail. The starting point is that Q3 year-to-date EBITDA of 2022, €659 million. We experienced a negative currency translation effect compared to last year of around €15 million and also the divestment of our Savannah terminal had a negative EBITDA impact of €3 million. The oil markets have been favorable year-to-date. High occupancy rates and contract renewals drive growth in EBITDA from our oil portfolio across the globe. With regards to the chemical markets, we’ve seen an overall growing storage demand across the portfolio compared to the same period last year. Next to the increased need for imports of chemicals in mainly Europe, indexation of contracts is partially compensating the rising cost and has supported the revenue increase. In the gas market, we see the LNG market is back to normalized levels as the available capacity is meeting the market demand and our LNG and LPG terminals are performing their role in the local energy systems. When comparing our cost base for the first half year of last year, we see an increase of €37 million mainly driven by higher personnel costs and other operating costs offset by cost control measures. Finally, we have delivered on our growth projects, which have contributed €6 million year-to-date. This all results in 12% EBITDA growth to €735 million year-over-year. Moving on to our second strategic pillar to grow our base in industrial and gas terminals. As mentioned with the key highlights earlier, we are expanding LNG capacity and presence in the Netherlands. The construction of the 4th tank at Gate Terminal has started and is expected to be commissioned in the second half of 2026. It will grow the terminal capacity with around 40% backed by long-term contracts. We’re proud to see the momentum for expansion for the terminal completed in 2011 and fulfilling an important role in energy security in Northwest Europe. Also in the North of the Netherlands we are taking the last steps to finalize the acquisition of part of the EemsEnergy Terminal, which is operational for a little over a year now. These LNG terminals have potential for the long-term, not only in gas but also for new energy products. For example, in EemsEnergy Terminal, we have the option to explore capacity increase and develop the site to facilitate the import of green hydrogen and CO2 infrastructure. We also keep investing in our industrial terminals characterized by their industrial integrations with our customers. In Banyan, Singapore, we repurposed an existing pipeline and create a new pipeline connection with an existing customer. The expected commissioning is in the first half of 2025. We’re also delivering on the third and last strategic pillar to accelerate towards new energies. As you know, we’re focused here on four areas, hydrogen, CO2 infrastructure, low-carbon fuels and feedstocks and long duration energy storage. We see momentum continue to build around these four areas by increasing interest from our customers and new regulations worldwide. Two proof points mentioned here. First in Antwerp, we have access now to a prime location in Europe’s leading petrochemical cluster, which will be redeveloped with the primary aim to make a positive contribution to the decarbonization of the industrial cluster. And in Los Angeles, more than 20 tanks were repurposed for sustainable aviation fuel and renewable diesel and commissioned in September of this year. We see the interest and the need for low carbon fuels and feedstocks storage picking up also in other locations. Another example is in Singapore where we repurposed some infrastructure to biofuel capacity for an existing customer at our Sebarok terminal. This will become operational soon. Now to summarize the key highlights, we improved results and made good progress on our strategic goals for the first three quarters of this year. The need for our services remained strong across most of our business units and along all lines of products we store and handle. We benefited from Vopak’s well-diversified infrastructure portfolio serving both the manufacturing markets as well as the energy markets around the globe. We improved our financial performance with strong Q3 results and continue the efforts in further improving our sustainability performance. We make good progress in growing our base in industrial and gas terminals around the globe, and a healthy interest is shown in accelerating towards new energy and sustainable feedstocks. Supporting these three priorities, we are pleased that our simplified organization structure is in place and will enhance the execution capabilities mainly at the country level and improve there with the efficiency. With that, I’ll hand it over to our CFO, Michiel Gilsing, who will give you more insights on the financial aspects of the quarter and the year so far.
Michiel Gilsing: Thank you, Dick and good morning to everyone in the call. To give a bit more clarity on the financial areas we are focused on and what I will cover on the slides to come, you see here an overview. First of all, we obviously focus on strong and improved financial business performance and improved strong cash flow and we focus on a healthy balance sheet and still apply a very disciplined capital allocation. And to start off with the financial performance of the first nine months of 2023 compared to the same period last year. We increased revenues to above €1 billion, an increase of 6% compared to the same period of 2022, and EBITDA increased even more with 12% to €735 million. This was underpinned by the higher occupancy compared to last year, which is four percentage points up to 91%. This results in a higher operating cash return of 14.4%. Growth expenditures are lower compared to last year, leading us to update outlook for 2023, which I will explain a bit later. Total net debt to EBITDA ratio came down to 2.27x below our range of 2.4x to 3x net debt to EBITDA. Continuing with the year-to-date performance, as we have previously announced, we are introducing this quarter our updated segmentation reporting based on business units. A strong EBITDA growth was seen across most of the business units driven by favorable market developments. Currency effects and divestments related to Savannah terminal had a negative impact offset by strong performance in the Netherlands, Singapore, U.S., and Canada, and the other business units. China and North Asia slightly declined driven by overall soft chemical spot markets related to the suppression of the China consumption. All in all, this leads to an EBITDA of €735 million in the first nine months, which is 12% growth compared to the same period last year. Now, moving into our quarterly performance. EBITDA was slightly lower compared to the second quarter being €241 million. This was driven mainly by the divestment impact of Savannah of €3 million. Occupancy improved by one percentage point compared to the second quarter of this year, mainly due to improvement in proportional occupancy in Asia and Middle East and the Netherlands business units, and also supported by the Los Angeles capacity conversion. This capacity is now back on service as sustainable aviation fuel and renewable diesel infrastructure. Costs slightly increased, mainly related to a slight increase in energy and utilities, partially offset by personnel expenses. This all and the higher operating CapEx resulted in a slightly higher operating cash return quarter – this quarter compared to Q2 of 14.1%. A closer look at the quarterly trend of the performance, which shows a continuing trend of improvement across markets. EBITDA quarter-on-quarter was slightly down due to currency translation impact of €1 million and the divestment impact as mentioned of €3 million. The market conditions improved in chemical and gas. The chemical improvement was mainly related to the increased need for chemical imports in Europe, and while the demand for gas infrastructure remains rather strong. Expenses increased mainly due to higher energy and utility cost partially offset by personnel expenses. And contributions from growth projects were negative, which is related to additional project development costs in Canada and Belgium. Then on to the cash flow. Our cash flow generation continue to be strong in the nine months of 2023 driven by positive business performance. Year-on-year, the cash flow growth excluding derivatives was 17%. After derivatives, taxes and other CFFI items, we reached to a cash flow from operations of €578 million year-to-date, which more than covers our operating CapEx spend, our dividend and our growth CapEx initiatives. The rest of the cash flow remains available to further reduce debt and a further debt reduction is expected in the last quarter of the year as the full year dividend was already paid in earlier this year. As we announced in September, we reached an agreement with Infracapital to sell our three chemical terminals in Rotterdam. The total sale price is a €407 million including a conditional deferred payment of €19.5 million. Total expected cash receipt net of transaction costs and net debt items at closing is around €368 million. In the third quarter, we recorded an exceptional item of around €54 million related to the partial reversal of the impairment charges we booked in 2022. The transaction is expected to close by the year end 2023. Given the good performance of these terminals in 2023, the impact of this divestment in 2024 is expected to be in the range of €60 million to €70 million in EBITDA and €40 million to €45 million in operating CapEx. Despite the EBITDA loss, we’re confident that in terms of free cash flow and cash return, this divestment will be supportive and accretive for our portfolio. On to the balance sheet, we have a solid balance sheet that is supporting our growth ambitions. Our management philosophy is to keep our net debt-to-EBITDA ratio in the low-end of the range of 2.5 times to 3 times EBITDA. The leverage ratio in the first nine months of the year is 2.27 times, below the management range, coming down all the way from just above the range with that being 3.02 times EBITDA. This improvement was driven by better cash flow generation of our business. The ample headroom we have will help us to finance our growth ambitions going forward. On the capital allocation, the deployment of growth CapEx towards our strategic priorities is going well. Since the Capital Markets Day in June 2022 when we announced the new strategic framework, €128 million is allocated to improving our portfolio. Like in the Eurotank Terminal as well as in the U.S., where we are repurposing and building vegetable oil storage. We have allocated €350 million to grow our footprint in gas and industrial terminals. And in India, we continue our commitment to precede our expansion ambitions. We are also strengthening our industrial terminal position in Singapore and China, and this quarter we took an FID on the Gate fourth tank with an equity investment of €26 million and a total investment for this expansion of €350 million. In the Netherlands, we are also working towards the last steps of completing the acquisition of the 50% of the shares in EemsEnergy Terminal, and we expect to finalize this acquisition also by the year-end 2023. The investment on our partnership with AltaGas in the West of Canada will also be added once the final investment decision is being made, which is expected in Q2 next year. Accelerating towards new energies and sustainable feedstock's is progressing well and in line with our expectation. We are confident in our project funnel in new energies and foresee that the material capital allocation will be after 2025, as we already indicated when the ambitions were presented initially. To summarize our performance year-to-date, we have improved our revenue and EBITDA performance both in reported and proportional ways. As mentioned above, we have been able to improve occupancy by capturing market opportunities. In addition to business performance being positive, our balance sheet strength has been further enhanced, reducing both the reported as well as the proportional debt. The return metrics have also improved. We have an encouraging trend on both ROCE from a consolidated point of view and proportional operating cash return. Then on to the outlook. We are confident to increase the short-term outlook we gave earlier. The EBITDA outlook for the full year 2023 is expected to be around €970 million, higher than the outlook of above €950 million announced earlier. The proportional EBITDA outlook for the full year is expected to be €1.16 billion, higher than the proportional EBITDA of above €1.14 billion announced earlier. Consolidated growth investments outlook for the full year 2023 is expected to be around €275 million, slightly lower than the prior growth CapEx outlook of €300 million. The operating CapEx outlook for full year 2023 is expected to be a maximum of €280 million, slightly lower than the prior outlook of a maximum of €300 million. All of the above led us to increase also the outlook for the proportional operating cash return of above 13% for 2023, compared to above 12% as announced earlier. Then on the long-term outlook, effectively unchanged we still aim to maintain an operating cash return of above 12%, which we believe is a healthy return for the type of company we are. Vopak's long-term commitment to invest €1 billion in industrial and gas terminals by 2030 and €1 billion in new energies and sustainable feedstock's remains unchanged. On leverage, we confirm our ambition to maintain a healthy leverage ratio with a range of around 2.5 times to 3 times EBITDA going forward. As well, our progressive dividend policy, which aims to maintain or grow our annual dividends, remains unchanged. Coming to the end of my presentation, I would like to bring our Analyst and Investor Day to your attention, which we will organize on the 1st of September in Rotterdam. And during that event we will provide analysts and investors with a comprehensive update on the progress of our strategy execution and we will host a visit to the Fliedinger [ph] Terminal with its newly commissioned capacity for waste-based feedstock's. Also on behalf of Dick and Frits, we look forward to meeting you there. And this concludes my remarks in the presentation, and I hand it back to Dick for the Q&A.
Dick Richelle: Thank you very much, Michiel, and open the floor for question-and-answers. And just to make one, you said 1st of September, the Analyst Day and Investor Day is 1st of November. I'm sure you all had that.
Michiel Gilsing: Sure. My apologies.
Dick Richelle: No worries. And so open the floor, please, for questions.
Operator: Certainly, thank you. [Operator Instructions] And our first question comes from Thijs Berkelder from ABN AMRO ODDO. Please go ahead.
Thijs Berkelder: Yes. Good morning, all. Congratulations on the strong performance in the third quarter. My first question primarily is on project development costs. I think you said something like 4 million higher in Q3 versus Q2. If I look at the segmental results, I wonder where these costs have been booked. Your corporate costs are something like 4 million higher than the previous quarter. But I also see clearly higher costs in Canada, like you described, and probably also in the Belgium reporting. So is the underlying amount not higher than the 4 million you indicated? Then can you maybe provide us with a rough indication of CapEx for the use in channel project? And certainly, can you give us a bit more detail on Singapore versus Malaysia and what is happening there?
Michiel Gilsing: Thijs, thank you and good morning. Maybe on the first one on the development cost, it is mainly – the difference Q2, Q3 is mainly Canada and Belgium. So it's the investments that we are doing in the new site in Antwerp. And in Canada, the main difference comes from the fact that we had a benefit in actually Q2. And that benefit did not continue in Q3. So that's why you see the difference there. I think the second question is related to the CapEx in Houston. We don't know yet what the total CapEx is at this. We are excited about the project because the consortium of the different parties looks very attractive. At the same time, we're still also going through the exact scoping of what the project will look like with both production and export facilities. So a bit too early, but it has the, well, it has the potential to become a very attractive and solid big expansion on the Moda Houston – Vopak Moda Houston side; so from that angle, also excited about the prospect. And then your third question was on Singapore versus Malaysia. And I'm not quite sure where you specifically were looking for in terms of the difference. Is that the terms of the difference in market and our position? Maybe you can specify that part of your question, if you can, please.
Thijs Berkelder: Well, you reported something like strong or good improvement in Asia Pacific, well, in the segments on Singapore, I see lower EBITDA, so it must be in primarily Malaysia, making the step-up?
Michiel Gilsing: Okay. That's where you're coming from. Now I think, in general, demand for oil storage continues to be healthy. So you see that in general coming back in both Singapore as well as Malaysia because we have the site in Pengerang and the Pengerang 1 site that performed better from an oil storage perspective. So I think that's where you see the main difference. Overall, fundamentally, it's not that we see a difference that oil demand is much stronger in one location than the other. We just saw an opportunity to further improve occupancy and rate development, specifically in Malaysia this quarter, Q3 versus Q2.
Thijs Berkelder: Okay, thanks.
Dick Richelle: Thank you.
Operator: Thank you. We will now take our next question from Quirijn Mulder from ING. Please go ahead.
Quirijn Mulder: Good morning, everyone. Quirijn Mulder from ING. And I have one question about Botlek. So what are you saying? This EBITDA is €60 million to €70 million in 2024. Was that your original estimate? And that is now – let me say that will be the miss for 2024? That is my question for this moment.
Michiel Gilsing: Yes. So we see improved results in 2023. And so indeed, the range is somewhere between €60 million and €70 million for 2023, which is if you compare it to 2022 is a step up, of course. Also, there was – is a better free cash flow in the Botlek. But still, if you take the free cash flow multiple versus, let's say, the sales price is a very healthy deal for us. But indeed, we thought it's good to give a bit of guidance to the market as well on the 2023 performance and also to make sure that once we come with the outlook for next year that we take the right benchmark into account.
Quirijn Mulder: And what is the reason that the range is still so big, €60 million to €70 million in November it seems to me quite large?
Michiel Gilsing: Yes. It is indeed quite large, but it's still a range because the business is still – there is still some uncertainty about, first of all, revenues where it will head towards to, but also on the cost side. So it's a relatively wide range. I agree, Quirijn, but that's the indication we can give at this moment.
Quirijn Mulder: Okay. But 2022 was €45 million.
Michiel Gilsing: Yes. Correct.
Quirijn Mulder: Okay. So with regard to China, you see some bottoming out there? Any signal of improvement?
Michiel Gilsing: Not yet. I think it's too early to see that at the moment. So the expectation is at somewhere maybe half of next year, that is how our team looks at it, although it's maybe quite hard to predict. But for us, the impact on China is actually quite limited. So we have some distribution business, but it's relatively small compared to the industrial terminal business we have. We don't see a lot happening as a result of the economy due to the contract structure we have on the industrial terminals. Yes, we see lower occupancy in one of the main distribution terminals, but the financial impact of that is relatively small, to be honest.
Quirijn Mulder: Okay. And your utilization rate goes up to 92% at least limited upside in margin at this moment. Is there anything you can say about it? This is, let me say – yes, that areas do you think, yes, we can still operate better. There are more opportunities still to raise that further. What is your upside here?
Dick Richelle: I think the best way to look at that, Quirijn, is we've seen improved results on the occupancy throughout the year. What we see going forward is still underlying strong performance, as we've indicated on the oil markets with healthy demand and no indication at least in the medium term that, that would significantly change. I think on the chemical markets, we always remained a bit more cautious, as you remember during the year. And – but yet again, every quarter that we report, we come back and we tell you that it’s still relatively stable and that’s how I would look at it at this stage as well. We see some first maybe impact in Asia, Southeast Asia of some ancillary movements or ancillary revenues that are slightly going down. But that’s too early to really indicate that that’s a step towards a lower expectation going forward. So I think that’s maybe more the business indicators of where I would see it. Now then to your question, whether still the opportunity sit with us? There’s still opportunities – some opportunities for pricing in the major markets. We also have at the beginning of next year another round of main escalations that are happening in the key contracts. So we see that happening and we see growth being added to the portfolio also for next year, which is something that will have an impact. So we’ll take a look at all those elements and provide you with the right guidance at the start of 2024. But that’s at least an indication of how the fundamental market conditions are behaving.
Quirijn Mulder: Okay. Perfect.
Michiel Gilsing: That’s on the market side and then yeah, obviously for us it’s very key also to control our cost base, on the energy and utilities cost but also on labor costs. We have reorganized the company in the last month to also be more efficient from the support and governance point of view. So we have reduced the number of jobs with 50, which is around 10% of our – if you like to call it, although it’s not a very nice term overhead. So that should also help us going forward. And obviously these steps are maybe smaller than on the revenue side but it’s still important to have that cost focus to also maintain our cash flow generation.
Quirijn Mulder: Okay. And my final question is the delay of Eemshaven is good explanation for. And maybe a remark on Pengerang and the progression there on the PT2SB?
Dick Richelle: Yeah, maybe on first on Eemshaven, and this – just the process is taking a little bit longer, but nothing that is concerning to us. The discussions are ongoing and there’s quite a number of parties from a contractual point of view that when the terminal was started up in 2022 that have to take a look at the fact that now the shareholding is changing. And that’s just a natural process to go through. So we don’t expect any challenges or issues over there going forward. That’s one. I think on Pengerang, on PT2SB terminal is fully up and running. The plant that it serves, so the refinery and petrochemical complex is still in recovery mode from the earlier incidents and accidents that have happened over there. And they are now in – back in startup mode for the refinery complex, the refinery and petrochemical complex, and are going through their steps of bringing the plant back into operation and back into full operation. I think overall the attractiveness of the site is still there. It’s a good position. We have a good position, a well-run, well designed terminal also with opportunities for future further growth once the complex is stable and starts to hopefully further invest in downstream activities.
Quirijn Mulder: Okay. Thanks.
Operator: And we will now take our next question from Andre Mulder from Kepler. Please go ahead.
Andre Mulder: Yeah. Good morning. Can you hear me?
Dick Richelle: Yes.
Michiel Gilsing: Yes.
Andre Mulder: Okay. Two questions. The first maybe you can add some comments on let’s say the possibility of disruption of oil and gas supply in the Middle East. I’m sure you’ve looked at different scenarios there. Second is what explanation is there for the change in the numbers that we’ve seen for divisions? It seems that the divisional contributions have been upped. And on the other hand, the holding level has been impacted negatively by something like 18 million year-to-date. What’s the explanation for that?
Dick Richelle: I’ll leave that question for Michiel, maybe a few words Andre. Good morning. To the – towards the disruption in the Middle East, I think the first comment, it’s too early to tell what it really could mean and what it means. I think if anything at the moment it adds to an already volatile situation that we’ve seen in the main oil markets and commodities being affected by it. We’re following it very closely and very carefully. But it’s too early to tell where and how the impact might come about towards the demand for services in, let’s say, Fujairah, in the Rotterdam or in Singapore. And we will follow it carefully and if there’s anything to update, we’ll let you know. But I don’t expect any major disruption happening towards those three main locations that normally are being affected.
Michiel Gilsing: Yes. And then maybe on the change in the numbers well noted Andre. Yes, what we did is effectively we wanted to simplify our reporting a bit, and we always had cost allocations from the center effectively to the business. And these are effectively the numbers which are before any cost allocations, just to be more transparent on what is actually the pool of costs which is used for support in governance and IT. It makes it in our mind, more transparent gives the right focus. And obviously we will have cost allocations in place as part of our transfer pricing policy. But from a reporting point of view, we think it’s more transparent to really show what the business performance is and what the cost is of the support governance and IT organization. So that’s why we changed it.
Andre Mulder: Okay. Can you also supplies [ph] for the adjusted numbers for Q1 and Q2?
Michiel Gilsing: Yes, we can.
Andre Mulder: Thanks.
Operator: Thank you. [Operator Instructions] And it appears there are no – there are currently no further questions in the phone queue. So with this, I’d like to hand the call back over to Fatjona Topciu, Head of Investor Relations for any additional or closing remarks. Over to you, ma’am.
Fatjona Topciu: Thank you. No further comments from us. I will hand over to our CEO if he has any last remarks.
Dick Richelle: No final questions. Thanks a lot for joining us this morning on the call. Look very much forward to seeing you and discussing with you next week on our Analyst and Investor Day and wish you all a very good day. Thank you and bye-bye.
Operator: Thank you. This concludes today’s conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.